Operator: Good afternoon, and welcome to the HealthEquity Third Quarter 2025 Earnings Conference Call. Please note this event is being recorded. I would now like to turn the conference over to Richard Putnam. Please go ahead.
Richard Putnam: Thank you, Nick. Hello, everyone. Welcome to HealthEquity's third quarter of fiscal year 2025 earnings conference call. My name is Richard Putnam, Investor Relations for HealthEquity. And joining me today is Jon Kessler, President and CEO; Dr. Steve Neeleman, Vice Chair and Founder of the company; and James Lucania, Executive Vice President and CFO; Scott Cutler, recently appointed successor President and CEO beginning in January. Before I turn the call over to Jon, I have a couple of reminders. First, a press release announcing the financial results for our third quarter of fiscal 2025 was issued after the market closes this afternoon. These financial results include the contributions of our wholly-owned subsidiaries and accounts they administer. Press release includes definitions of certain non-GAAP financial measures that we will reference here today where you can find on our Investor Relations website a copy of today's press release, including reconciliations of these non-GAAP measures with comparable GAAP measures and a recording of this webcast. The website is ir.healthequity.com. Second, our comments and responses to your questions today reflect the management's view as of today, December 9th, 2024, and will contain forward-looking statements as defined by the SEC, including predictions, expectations, estimates, or other information that might be considered forward-looking. There are many important factors relating to our business which could affect the forward-looking statements made today. These forward-looking statements are subject to risk and uncertainties that may cause our actual results to differ materially from statements made here today. We caution against placing undue reliance on these forward-looking statements, and we also encourage you to review the discussion of these factors and other risks that may affect our future results or the market price of our stock, as detailed in our latest annual report on Form 10-K and in subsequent periodic reports filed with the SEC. We assume no obligation to revise or update these forward-looking statements in light of new information or future events. Now over to Mr. Jon Kessler.
Jon Kessler: Thank you, Richard. Well done as always. Hi, everybody, and happy holidays. I will briefly discuss Q3's momentum and key metrics and then we've got a cavalcade of stars. Steve will describe post-election paths to health account expansion. You don't want to hear about that. Jim will detail Q3 financial results, raised FY '25 guidance and preview FY '26. I know you don't want to hear about that. And then we're privileged to have Scott Cutler here with us with a few words of introduction. Let's get to it. In Q3, the team again delivered double-digit year-over-year growth across most key metrics, including revenue, which was plus 21%, adjusted EBITDA plus 24% and HSA assets plus 33%. HSA members grew 15%, driving total accounts up 8%. HealthEquity ended Q3 with 16.5 million total accounts, including 9.5 million HSAs, holding $30 billion in HSA assets, which is a lot. In fact, HSA assets increased $7.4 billion year-over-year and we grew the number of our HSA members who invest by 21% year-over-year, helping to drive invested assets up 58% to $13.6 billion. And if you subtract that from 30, you know that HSA cash reached $16.4 billion. With sales and digital member education in action, I wanted to say like firing on all cylinders, but there was a lawyer problem with that so I didn't say that. I'm not even sure what the lawyer problem was. In any case, Team Purple opened 186,000 new HSAs organically in the quarter and that's 14% more than Q3 last year. Our HSA members added $0.5 billion in assets compared to a $0.6 billion decline in Q3, which is typically a lighter quarter organically. In fact, average HSA balance has grown by double digits over the past 12 months, which is awesome for our members and awesome for our mission. Net CDBs were up $0.1 million quarter-over-quarter, though flat year-over-year, which is a reminder of the impact of CDB comps -- on CDB comps, clearly reading the wrong thing, of runoff of national emergency accounts. This will be the last time I will have to say that, not only because it's my last earnings call, but because we are lapping those comps. We face a monster year-over-year new HSA sales comp in Q4. It's a monster. We had an incredible Q4 last year. But the team's performance over the first three quarters of fiscal '25 gives it a really good chance to break the full year record for new HSAs, which would be incredible. Our operations teams were also very busy in Q3, completing the final wave of single card processor consolidation while battling a sophisticated and persistent fraud actor. These fraud activities led to excess of both of these kinds of activities, I'm sorry, led to excess one-time service expense, which Jim will detail, a top seasonal spend for new partner and client implementations and hiring and training and testing for a successful open enrollment season, which is now very much underway. You should feel confident though that the underlying trend of service cost reduction through remarkable digital experience continues with AI transforming more member contacts and claims interactions and mobile wallet integration supplanting more plastic. If you have a HealthEquity card and it's not in your mobile wallet, got to do it. Time to do it. Have you done yours, Jim?
James Lucania: Not yet.
Jon Kessler: Because you don't spend any yet.
James Lucania: No.
Jon Kessler: Okay. All right. We need to work on that. Richard, have you done it? Steve? Steve's done it.
Steve Neeleman: Absolutely.
Jon Kessler: I know Steve has done.
Steve Neeleman: Only for male PFSA.
Jon Kessler: Okay, all right. I've done it. It's awesome. You should do it too. Speaking of busy. It's election day behind us. Steve and the advocacy team are now supporting multiple efforts to expand Americans' access to personal portable health accounts. Let's hear about it. Steve Neeleman?
Steve Neeleman: Thank you, Jon, as always, fantastic kickoff, man. We're going to miss it. Anyway. We now see three approaches to expanding access to personal, portable health accounts. These include bipartisan legislation, budget reconciliation by the Republican majority, and rulemaking by the new administration. The Bipartisan HOPE Act, formerly known as H.R. 9394 would enable all Americans with ACA-qualified health insurance that isn't HSA compatible, including all Medicare recipients to save and invest tax free for medical expenses and it encourages employers to contribute to the savings of low and middle class income employees. Introduced in August by three Democrats and three Republicans, the HOPE Act now has the endorsement of the House Problem Solvers Caucus, which includes 32 Democrats and 27 Republicans. HOPE has also been endorsed by diverse interests, including the American Benefits Council, whose members include 430 of the nation's largest employers, a few labor organizations, and the U.S. Chamber of Commerce, which is the country's largest business organization. Another path is budget reconciliation. This has been used by Democratic and Republican majorities in recent years to pass wide ranging tax and spending bills because it is not subject to filibuster. And the next Congress is likely to produce multiple reconciliation bills. Also, the HSA Modernization Act and the Bipartisan HSA Improvement Act, which were both passed by the House Ways and Means Committee in the current Congress are examples of HSA expansion the majority can attach to a reconciliation bill. These two bills would expand HSA access to working seniors on Medicare. It would also include expansion to VA beneficiaries and Americans with Indian health service coverage. It would also provide for HSA funding from unspent FSAs and HRAs. It would raise annual HSA contribution limits as well as making spending from HSAs more flexible and consumer friendly. And finally, the incoming administration can use its rule making authority within existing HSA law to expand access to the accounts. For example, by further expanding the wellness and preventative care that HSA compatible plans may cover outside of the required deductible or recognizing the actual value of insurer contributions to HSAs offered with plans on the AC exchanges and also approving HSA compatible plan designs in Medicare Advantage. These are all ways that they can do that. The administration may also expand HSA eligibility to wellness and fitness expenses. Finally, Americans with access that have HSAs make healthcare more affordable and exhibit more of the healthy behaviors that reduce healthcare costs. Moreover, personally owned, portable and investable health accounts are widely popular among young and old, liberal and conservative. So we are quite optimistic about legislative and regulatory action to expand access and we'll continue to support it through advocacy, expert advice and credible research. I'll now turn the time over to Jim for our results and guidance. Jim, take it away.
James Lucania: Yes. Thanks, Steve. Thanks, Jon. I will briefly highlight our fiscal third quarter GAAP and non-GAAP financial results. As always, we provide a reconciliation of GAAP measures to non-GAAP measures in today's press release. As a reminder, the results presented here reflect the reclassifications of our income statement we described in our fiscal year 2024 10-K, both for fiscal '24 and '25 for comparison. Third quarter revenue increased 21% year-over-year. Service revenue was $119.2 million, up 4% year-over-year, reflecting growth in total accounts, HSA investor accounts and invested assets and lower average unit service revenue as product mix continues to shift toward lower headline fee HSAs. Custodial revenue grew 41% to $141 million in the third quarter. The annualized yield on HSA cash was 3.17% for the quarter as a result of higher replacement rates and continued mix-shift to enhance rates. Interchange revenue grew 15% to $40.3 million, again, notably faster than account growth as members increased contributions and distributions and conducted more payments on HealthEquity's card and platform versus requesting cash reimbursement for payments made off platform. Gross profit was -- of $197 million was 66% of revenue in the third quarter of this year, up from 64% in the third quarter last year. As Jon mentioned, in addition to seasonal factors, gross profit during the quarter was reduced by approximately $8 million of excess service costs incurred to protect members from and reimburse those impacted by sophisticated fraud activity and to assist members during the final and largest phase of our card processor consolidation. While the seasonal ramp-up continues as a result of the sales success as Jon discussed, we believe these event-driven costs are largely behind us and expect only modest carryover into Q4. Net income for the third quarter was $5.7 million or $0.06 per share on a GAAP EPS basis and included the $30 million one-time settlement of the WageWorks Lease Termination Lawsuit that we disclosed on Form 8-K in November. Non-GAAP net income was $69.4 million or $0.78 per share versus $0.60 per share last year, which excludes that one-time cost. Adjusted EBITDA for the quarter was $118.2 million, up 24% compared to Q3 last year and adjusted EBITDA as a percentage of revenue was 39%, up from 38% in the third quarter last year, but of course, was impacted by the event-driven service costs I referenced earlier. Turning to the balance sheet. As of quarter-end, October 31, 2024, cash on hand was $322 million as we generated $264 million of cash flow from operations in the first nine months of fiscal year '25. The company repaid $25 million of revolver borrowings during the quarter, leaving approximately $1.1 billion of debt outstanding net of issuance costs. The company also repurchased $60 million of its outstanding shares during the quarter under the previously announced $300 million authorization, leaving $240 million remaining. Today's fiscal '25 guidance reflects the carryforward of our strong sales trajectory, operational efficiencies resulting from our technology investments and current forward interest rate curves. We expect revenue in a range between $1.185 billion and $1.195 billion. GAAP net income in a range of $88 million to $96 million or $0.99 to $1.08 per share and includes the $30 million settlement mentioned earlier. We expect non-GAAP net income to be between $274 million and $281 million or $3.08 and $3.16 per share based upon an estimated 89 million shares outstanding for the year. Finally, we expect adjusted EBITDA to be between $470 million and $480 million. We now expect the average yield on HSA cash will be approximately 3.1% for fiscal '25. As a reminder, we base custodial yield assumptions embedded in guidance on projected HSA cash deployments and rollovers, a schedule of which is contained in today's release as well as analysis of forward-looking market indicators such as the secured overnight financing rate and mid duration treasury forward curves. These are, of course, subject to change and not perfect predictors of future market conditions. Seasonally, our fourth quarter is usually our highest service cost quarter of the year as our busy onboarding season peaks. Our guidance also includes additional expected share repurchases under the $300 million repurchase authorization. We expect both to return capital to shareholders and reduce revolver borrowings in the remaining quarter of the fiscal year. With continued strong cash flows and available borrowings on our revolver, we will maintain ample capacity for portfolio acquisitions should they become available. We assume a non-GAAP income tax rate of approximately 25% and a diluted share count of 89 million, including common share equivalents. Based on our current full year guidance, we now project a GAAP tax rate for fiscal '25 at about 20%. As we've done in previous reporting periods, our full fiscal 2025 guidance includes a reconciliation of GAAP to the non-GAAP metrics provided in the earnings release and the definition of all such items is included at the end of the earnings release. In addition, while the amortization of acquired intangible assets is being excluded from non-GAAP net income, the revenue generated from those acquired intangible assets is included. We're also providing the following initial guidance for fiscal year 2026. We expect revenue to be between $1.275 billion and $1.295 billion. We expect margins will expand with adjusted EBITDA growing to approximately 41.5% to 42.5% of revenue in fiscal '26. This initial guidance is based on an average HSA cash yield range of 3.4% to 3.5%. Based on our outlook of interest rate conditions, current forward interest rate curves for the year ahead and the continued mix shift for basic rates -- from basic rates to enhanced rates. The reconciliation of our adjusted EBITDA outlook for the fiscal year ending January 31, 2026 to net income, its most directly comparable GAAP measure is not included because our net income outlook for this future period is not available without unreasonable efforts, and we're unable to predict the ultimate outcome of certain significant items excluded from this non-GAAP measure such as stock-based compensation expense and income tax provision or benefit.
Jon Kessler: Feel like all these introductions are -- to other people who people wanting. This is the closest any of us are ever going to get to hosting the Oscars. So thanks, Jim. It's now my pleasure, genuinely so to introduce Scott Cutler, whom as you know or who as you know, he did that to me, who as you know, will succeed me as President and CEO on January the 6th. Given that Scott is still at work managing a smooth transition at StockX, we are super grateful that he is in the office in the saddle, joining today's call to introduce himself to you. Scott?
Scott Cutler: Thanks, Jon. Thanks, everybody. Great to join Team Purple. I am humbled, honored, thrilled to be joining HealthEquity this time, certainly filling some big sneakers from Jon in this transition. Pun intended, Jon. I'm excited about three things in joining Team Purple right now. First, I am inspired by the mission of the company which was infused into every conversation throughout this process to save and improve lives by empowering healthcare consumers. I'm excited to work alongside Steve fulfilling this mission. Second, I'm excited to be joining the leading company in this space and continuing to strive to deliver outperformance in the market. Third, I'm excited to be joining the team in this next stage of growth at a time when the future holds so much opportunity for tech innovation. My career journey has been defined by digital and technology transformation across various industries and HealthEquity will be the next chapter in industry in that journey. I'm looking forward to continuing to drive our tech-enabled 3D strategy. The first D, delivering remarkable experiences. This is using data science and technology to digitize our remarkable Purple service and education while securing members' assets and information. Second is deepening partnerships, using more advanced technologies to connect and extend the competitive advantage of our intelligent integrated ecosystem with our network partners. And third, driving member outcomes by combining proprietary technology, data science and integrated partnerships to empower members to make better health and financial decisions. I really want to thank Jon, Steve and Team Purple for welcoming me and their support in this transition process. I'm excited to be working with the team to deliver on our commitments to partners, clients and members, to our investors, to each of you. I look forward to meeting many of you in upcoming conferences and reporting to you our progress towards our outlined objectives.
Jon Kessler: Thanks, Scott, and a nice start on the puns. Well done. The company may continue. Let's go to Q&A. Operator?
Operator: [Operator Instructions] And our first question today will come from Gregory Peters with Raymond James. Please go ahead.
Gregory Peters: Well, good afternoon, everyone
Jon Kessler: Good afternoon. Let's have it. Let us have it, man. Come on
Gregory Peters: Let you have it. Well, I have one question in seven parts. Jon, that will give you an opportunity to give me, along with, I'm sure a number of the other sell side analysts a hard time for the remainder of the hour. Welcome aboard, Scott. My one question in several parts is the big picture is the revenue guidance on fiscal year '26. If I'm not mistaken, it's probably a little bit below consensus and reflects high single digit year-over-year growth. So maybe you could give us some color on the several parts that are comprising the fiscal year '26 guidance.
Jon Kessler: You want to take this one first?
James Lucania: Sure. Well, yes, I think on the main part, like the key part of the guide is our expectation on the custodial yield, right, 3.4% to 3.5%. I think it's the logical build. You have the refresh of our RHSA cash maturity schedule. You see what's maturing. You see where the five year is today and a reasonable premium to that placed in a combo of enhanced and basic rates. So the pickup on those maturing assets is not as big. So call it sort of roughly $4 billion being replaced in the next year for round numbers at today's rates and you're rolling off roughly 3.2% average rates. So I think you can do that math and comfortably get inside our range there. And I think on the other main line, like we are significantly outperforming in the interchange line, big step up in spends per account, right? Remember that we consider that a service revenue. You'd expect it to normally grow with account growth ex-COBRA, which doesn't have a card. But this year, we're really outperforming that. And so I think it's sort of prudent for us to be cautious about future contributions and spend in that line. We're seeing contributions up. We're seeing spend up. We're seeing average ticket up. We're seeing usage of the card versus reimbursements up and I think it's sort of reasonable to expect that to dial back down in the forward year. And then don't forget, we've had tremendous, tremendous, market action this year that you can't just annualize and roll forward into the next year. So bringing all of those drivers back into expected normalized growth, I think will come out to something close to what we just guided you to.
Jon Kessler: Yes, and I would just add just conceptually, we always talk about outgrowing the market and then outgrowing our top line on bottom line. And I think here, what we've tried to do is we always do with this first guide. We've only been doing the first guide for what three years.
James Lucania: Third year.
Jon Kessler: And we started it during COVID and we always have this challenge that is what we try to do is we guide at this point to what we see. And so what Jim is and I think that's particularly true this year because I'm not going to write checks that I can't cash and that I'm not going to be around to deal with or -- but I messed up the metaphor. You know what I'm saying. And so when you really look at it, the yield is yield. We've given you the data that you can compute it and based on Q3 and if you're -- if you do the math, you're going to get -- you're going to understand our range pretty well. And if someone wants to ask about that, we can walk through it. That really leaves, I think, two variables that Jim highlighted that we're going to learn more about it and I'll maybe add a third, but the first is actual average cash, right? We've -- over the course of this last year, we've wobbled a bit in terms of an item is difficult to forecast, which is the amount of cash that goes into investments versus not. Right now we have a ripping market. And the result of that, in my mind has been some excess flow relative to our expectations. And that was certainly true earlier in the year, I think maybe a little less so late in the last quarter. But nonetheless, that's something that's very hard for us to forecast. And so what we'd rather do is let's give it a little time before we give our first true guidance. And the second thing that Jim mentioned is interchange and we had a tremendous year-on interchange, at least up through three quarters this year. And it's a function of a lot of little things, but as many good things are and the team has really worked on this, but ultimately, we can't -- what we'd rather see is let's and we can is, let's see how January goes as part of the fourth quarter and whatnot and that will give the team an opportunity to refine. I think -- if I throw in on top of those two things, just total account growth where you all can make your assessments, I think you should be able to get to a place that you feel is totally reasonable for fiscal '26.
Richard Putnam: Thanks, Greg.
Jon Kessler: Was that one part of the multi part or was that the multipart? I think it was that was the multipart.
Gregory Peters: Thanks for the answer. Good luck, Jon.
Jon Kessler: Thank you.
Operator: Our next question today will come from Stan Berenshteyn with Wells Fargo. Please go ahead.
Stan Berenshteyn: All right. Thanks for taking my questions. Jon, of course, wishing you best in retirement. I just want to say your insights and jovial flare that you brought to the earnings calls will be missed. I do have the two follow-up questions actually on what Jim just discussed. Well, first, as it relates to the custodial revenue. As we think about next year, I believe there is some WageWork assets there, and I'm just curious, is the pacing of the reset for fiscal year '26 assets in any way different than what we've seen this past year? And the follow-up is, I'll just throw in right now. The follow-up is, if we think about interchange revenue, you just touched on that. It wasn't surprising to see, I guess, a sequential decrease in revenue, 10% quarter-on-quarter, but gross margin went up, I think, over 400 basis points. Could you just talk about what drove the significant increase in the gross margin line? Thanks.
James Lucania: Okay. Yes, let me take the first part first. And yes, well, obviously, there are some WageWorks assets that were placed more in the middle of -- or will be replaced more in the middle of '26 than like a typical year. Obviously, '25, we had a big slug of wage -- of a BenefitWallet cash that came in. So this is not quite a normal year of placements either. But I will -- like, one thing that we are definitely taking advantage of is seeing those big $3.5 billion slugs of maturities in the next couple of years. We will take the opportunity and have taken the opportunity to pull forward some of those repricings. And so when the market gives us that opportunity, like we sort of treat that as a hedge without having to purchase a hedge from all of your -- the banking side of all of your houses, so we have taken advantage of that and we will continue to take advantage of that if the market gives us that opportunity. So expect to see some of those maturities pulled forward and therefore reinvested earlier than the maturity date. So I think that tries -- that derisks. As we've talked about many times like this is $7 billion maturing over the next two fiscal years in very large slugs, like that is one of our largest market risks. It's not that the -- it's hard to move the corpus that's invested. The yield on that is pretty well known, right? But those -- but the five year treasury on any point in time 24 months out, I don't have a clue what that's going to be. And if I can give you a clue, well, it's like the first clue in the Scooby-Doo.
Stan Berenshteyn: Yes.
James Lucania: Not the last clue. Definitely not the last clue. All I know is whatever I forecast that rate to be or the forward curve forecast that rate to be, it's going to be wrong. So to the extent we can pull forward some of that, we'll do that, but -- and we're going to keep pushing that transition to enhance rates forward over time, but yes, like I'd like to get to that finish line as fast as possible. And sorry.
Jon Kessler: You want me to take the second part?
James Lucania: Yes, sure. The gross margin.
Jon Kessler: Yes. So fundamentally, I mean, the thing that is driving higher gross margin in the aggregate is the mix-shift to HSAs fundamentally. And we've been saying that for quite a while and it's been true for quite a while. I think if I focus in on this quarter, as both of us commented on in the text, there are some things that caught us a little bit, but that's also why we guide the way we guide is because as we've said many times, there's kind of only one tail there. So -- but fundamentally, what's happening is that is two things are happening simultaneously. You've got the HSA is outgrowing the rest of the business, and HSAs are becoming more valuable period. And that's a function of enhanced rates. It's a function of coming out of the COVID period, et cetera. And so -- and that process still has a ways to go. So we said early on that we thought that we would bring EBITDA margins into the 40s and our fiscal '26 guide implies exactly that.
Stan Berenshteyn: Thanks, Jon.
Operator: And your next question will come from Glen Santangelo with Jefferies. Please go ahead.
Glen Santangelo: All right, guys. Thanks for taking my question. And Jon, good luck in retirement. I did want to ask you and Steve about this HOPE Act. I mean, essentially, could you give us a sense for maybe how big the TAM is for HSA accounts today? And then, Steve, based on your understanding of the HOPE Act, how much do you think that TAM expands? And then, Jon, I don't know if you've had any conversations with anyone on The Hill. I don't know how you sort of handicap the likelihood of this moving forward or how you expect this to sort of play out in the new administration in 2025. Thanks.
Jon Kessler: Steve, why don't you get started on this one?
Steve Neeleman: Sure. Thanks, Glen. Yes, so I mean, look, as we've watched this for the last 20 years, we have a pretty good handle on where the TAM of HSA is headed. And we've always said that we think at market maturity, Glen, it will be around 60 million, 65 million accounts. It's kind of in that same range of where you see employer sponsored retirement accounts land. But there's over 100 million households in the United States, 120 million households. And so we've really tried to dig in and say who could benefit from personal, portable accounts that can't either because they're in a government plan, I have a good buddy of mine that used to fly Blackhawk helicopters and after 20 years in the military, came out and went -- took his first kind of private sector job at age 45 and they offered him an HSA and he couldn't have it. It's ridiculous. And so because he was disqualified because he has access to military coverage. And so long story short is, we think that this will increase the TAM from where we think -- even if HSAs keep growing because there are some differences. We can talk about HSAs and what the legislators have proposed with the HOPE Act, there's some slight differences, not the least of which is that any ACA credible coverage can have a HOPE account, whereas with an HSA, you have to be in this high deductible plan. But we think it could increase the TAM by as much as 40 million to 45 million households in these, which would be really exciting for people that are on Medicare, even Medicaid, TriCare, Indian Health Services, et cetera. And then there's just a bunch of union plans and things like that do not offer high deductible plans. Exchanges, there's a lot of people that go into exchanges and think, oh, I'm going to jump into an HSA too, but because of the way the plan is set up on an exchange, they can't have an HSA. So that's kind of the big picture. We think it takes the TAM from the total addressable market of these personally owned portable investable accounts from, 60 million, 65 million accounts to over 100 million. Jon, did you want to add something else? We can talk a little bit about kind of the sausage making out there that's going on that we're seeing. But did you want to add anything?
Jon Kessler: Why don't you comment on that? Go ahead.
Steve Neeleman: Yes. So I mean, look, we were thrilled in the middle of the August recess. Six legislators came together and they introduced the bill and they've been working on it for a couple of years. They were certainly talking to the industry and saying what can we do to get more people covered because out of pocket expenses are real. The average deductible for a family, Glen, in a PPO plan that is not HSA qualified is about $3,000. It's real money to an American family when the median household income in this country is about $70,000. It's a lot of money, $3,000. The median -- I'm sorry, the average deductible for someone in a high-deductible plan, HSA qualified plan is about $5,000. So it's higher, but still $3,000, $5,000, a lot of money for people. And so legislators know that. They know out of pocket expenses are very, very costly. And so they've been looking for different ways to do this. And so they came together. They talked to their colleagues in Congress. They talked to people on the other side of the aisle. And so when the House introduced -- these House members introduced the bill back in August, we were pretty pleased. And then it's been kind of need to see more and more have added. I think there's over 20 -- now over 20 bipartisan legislators. It's right down the middle, Republicans and Democrats that are supporting this thing. And then they did a vote in the Problem Solvers Caucus, about 60 legislators there that weighed in and again, very bipartisan group. They're right in the middle, which when you look at the count numbers in Congress and we're basically even with a few folks that are waiting to see if they can get appointed that have given up their seats. I mean it's kind of a 50-50 split. That means when you get a block of 60 legislators in the middle that actually want to get some stuff done, we -- it's pretty encouraging. And then we're starting to see a lot of other groups come in, as I mentioned in my prepared remarks, like American Benefits Council and some labor groups and things like that, they are coming in saying, hey, we think this is a great idea. So with that type of momentum, then the question is, well, how do you get this done? And there's going to be stuff that will start moving. Obviously, you need to see the new Congress in January. And then it's where can you find a bill that can help tens of millions of Americans that hopefully will not break the budget and that's where we think the HOPE Act is -- can fit that bill. They still need to go through a scoring process and finalize that. But the score should be lower than what we've seen in some of the other HSA expansion stuff just because of the nature of the HOPE account. But -- I think that hopefully gives you a little bit of an overview. I'm happy to ask take another question, Jon, I certainly refer to you since you've been in the middle of that sausage factory as a young graduate. Jon was making.
Jon Kessler: Richard doesn't want me to talk anymore about this, but I'm going to.
Richard Putnam: Someone wants to close.
Jon Kessler: I am, but I want to say -- I'm going to say something different, okay, but you're right, this is totally selling through the club. Well put. Something that the inverse of what Steve just said is what happens when somebody's out of pocket expenses, which every commercial plan in the United States has, right, which Medicare has et cetera, et cetera, right, and they don't have access to one of these kinds of accounts. The answer is for every dollar that you're paying out of pocket, you almost have to earn two, right, when you get through with the taxes -- the federal taxes, the state taxes, the payroll taxes, social security taxes, right? People say them take a bite and that's one of the reasons by the pain of out of pockets without access to these accounts or without using them well is so -- seems so disproportionate because you actually have to earn so much more to do it. It's just crazy that we would not be giving people this access and it's time to do it and -- so that sort of emotional visceral, what if we don't do this, right, plus Steve's very tactical, he's really gotten into this, very tactical kind of how do we do it, is kind of the thing that led me to make, I think, pretty positive comments about this last quarter, which I believe this quarter even more so, so.
Richard Putnam: Thanks, Glen.
Operator: And your next question today will come from Allen Lutz with Bank of America. Please go ahead.
Allen Lutz: Good afternoon. Thanks for taking the questions. Jon, going to miss the one-liner. So congrats on the retirement. One question for Steve. Going back to the potential Medicare expansion. Can you remind us just how that could theoretically work for HealthEquity? How should we think about your exposure to employers with Medicare populations as well as your exposure to health plan populations that have access to Medicare? Trying to understand how is the selling process to this type of population different or the same relative to your current customer base? Thanks.
Steve Neeleman: Hi, thanks, Allen. I think, great question. So we get questions every day in our service center about the 65-year-old that inadvertently enrolled in Medicare Part A, because Medicare told him he needed to or she needed to maintain their Medicare rates, but it turns out they really didn't need to and now they're making contributions into an HSA and they're dual enrolled, so they're ineligible. And so there's been immediate savings to be able to say, hey, look, we can rectify that situation. And really that would remain true. I mean they could get rolled -- we could say let's get those dollars into a HOPE account or even with the HSA expansion efforts to pass the House Ways and Means Committee next year, that would help those working seniors that are in Medicare. That was included in the bill that was passed through the House Ways and Means Committee. So in either one of those avenues, we feel confident we could ramp up pretty quickly to take care of those folks. As far as broader distribution, we as -- you know, HealthEquity, we're very lucky and blessed to have the largest partner -- group of partners, health plan partners in the United States. We've talked a lot about these in the past, many, many hospital systems and hospital system-owned health plans and the Blues Association where these are some of our closest partners. And most of these are nonprofits. Most of these folks do have Medicare populations, pretty significant Medicare populations. In fact, I would tell you that most of our health plans, if you ask them what is your fastest growing book of business, at least one of them in the top couple would be Medicare. MA and the like. And so we would use our same distribution channel, which is fantastic. We would go to them and say, look, we think we've built some a great chassis to sell more commercial products. And now we've got -- HOPE accounts are now part of the equation or the expanded Medicare HSAs that we've mentioned. And let's go after this. And so as a company that thinks about this thought leader, I mean, our people think about it every day, we have to be very thoughtful about spending money that -- until this legislation is passed. But I can tell you, there's a lot of thinking about it. That's for sure.
Richard Putnam: Thanks, Steve, and thanks, Allen.
Operator: And your next question today will come from Anne Samuel with JPMorgan. Please go ahead.
Anne Samuel: Hi, guys. Thanks for taking the question. I was hoping I know you're not providing guidance at this point, but was hoping maybe you could just speak qualitatively to how your selling season wrapped up. And was there anything notably different this year versus prior years? Thanks.
Jon Kessler: Yes. So let me say, first of all, let me just repeat first [technical difficulty], careful observers will note that this is the first time I've ever made a comment in 50 plus of these things about a future sales number. I did it obliquely, is that the right word, of two swings, I don't know, one of those words [technical difficulty] one of those. But I did it. And I think that does reflect the view that we feel -- if you had asked us at the beginning, well, you did at the beginning or maybe it was Mark on who did, but somebody asked us at the beginning of the year how we felt about the year-on-year sales comp, we said it was a very tough comp. And to be in a position to beat it and perhaps to beat the record from two years ago is pretty good. I think if I look at within sales, there are a couple of things I would point out. I think the biggest is that the opportunity that we saw this year was and it goes back to the question that was asked earlier about margin growth, was given the success that we are having at increasing the value of an HSA and now that's kind of real and it's there, as well as kind of the related products that we've talked about that are starting to be in market and starting to get some traction, we felt like we could be particularly aggressive about HSA pricing in particularly not just in enterprise, but kind of upper middle market and so forth, and frankly, with distribution, with the brokers and the like and our -- who have been great partners to us. And so -- and we work conversely where we have lower margins, right, which is some of our CDB products, we held the line. And as you know, in some cases, increased prices. And so I think that's the right answer. If you're -- we want to sell what we think is durable business that's going to be good for the company, good for our mission and so forth for a long period of time. And so those -- that's probably the first and most important trend that we saw. And the result of that is we saw a lot more activity. You may recall last year, kind of middle market was a little bit soft for us and enterprise did well. We saw a lot more upper middle market, middle market activity. And that's good. Enterprise is probably not quite as strong as last year, because I think everyone is kind of trying to be as competitive as they can in enterprise land. And again, there are areas where we're going to hold the line where it's a standalone business that kind of doesn't make sense for us. So -- but again, I think the big picture is increasingly adjusting our pricing as well as other aspects of what we're offering to compare profitability. The last thing I'll say here is that we were really happy to be in a position where we could start talking with our clients and showing our clients and in some cases, selling and incenting our clients on our new product pipeline. And so let me talk a little more about that if someone wants to, but that not only I think has made a difference for us, but the goal in fiscal -- in this sales cycle was to get to a place where we're starting to get a little revenue next year from this stuff, where we had really good, like some people call bell cow clients. I'm not sure that sounds it. It doesn't sound as good as it is, Bell cow is actually pretty good. And pilot, people say pilot implies money. Yes, that's not good.
Steve Neeleman: Early adopters.
Jon Kessler: Early adopters, very good, thank you. And you've always been here for me or at least for the last five, six quarters. And so I -- look, that's, I think really valuable and is useful for us this year, but I think we'll be even more so next year.
Richard Putnam: Thanks, Anne
Operator: And your next question today will come from George Hill with Deutsche Bank. Please go ahead.
Jon Kessler: You got to watch out this operator.
George Hill: Excuse me, guys.
Jon Kessler: You got a lot of shot. This operator. He's like you talk and that's it.
Richard Putnam: Good job.
Steve Neeleman: Yes.
Jon Kessler: Nick is on this. So if you don't -- doesn't come out at the beginning, it ain't coming out apparently.
George Hill: Yes, but Jon, did you guys change the whole music? Like that's not really my core question, but it sounded like the waiting music for the call chart changed. I thought you guys used to do a Spanish guitar thing.
Jon Kessler: I mean, it's interesting you mention this because I personally have lobbied for Snoopy for a long time and, there's a company I won't name them but that is oftentimes affiliated with Snoopy that is now one of our enhanced rates partners. And, maybe we can get that for next quarter.
George Hill: Okay. Well, Jon, first of all, I will wish you well. I'll say, Scott, welcome aboard. And I hope that you keep the flavor of this call the same and I might pepper you with an ever the junk question every call and again. And if there's a pair of strange love dunks laying around in StockX on your way out the door, I'm a size 9.5. Two quick questions.
Richard Putnam: He's writing that down, George, 9.5.
George Hill: I like it. Like I said 9.5. Jim, as it relates to the $8 million impact that you cited related to the fraud impact, so am I just reading the financials right that you guys basically absorbed that reported gross profit numbers in the quarter, some numbers effectively would have been higher. And then, Jon and Steve, on the expansion into the Medicare space, one of the things I think about when I look at that space is I assume you guys are talking about the traditional Medicare A plus B business and not the MA business as a lot of those guys kind of offer a lot of their own cards. So the question would be, do you see this as something supplemental? Is it something that would be portable in addition to those benefits that tend to expire at year end or is there an opportunity to work with the carriers to provide something that looks enhanced? Because I'm sure that you guys know what's going on depending on legislation better than I do. And I'll drop it right there. Thank you.
Jon Kessler: Why don't you take the first, Jim, I'll take the second.
James Lucania: Yes, and well done sneaking in two questions there.
Jon Kessler: Yes, that was good.
James Lucania: So yes, so let me just clarify on the -- so the $8 million, that was excess service costs across the board, so sort of ahead of our of our expectations. Yes, it was absorbed into the number. But that is not just related to the fraud activity that we mentioned, but also sort of elevated member contacts. Yes, some of that related to fraud, but also some of that related to, as Jon mentioned, this was our largest wave of the card migration. We put new chip cards, mobile wallet ready cards into many, many, many [technical difficulty]. And of course, perhaps we should have anticipated some of that incremental volume that would come our way just as the normal noise of a big operational project like that. But two -- we did not. So the two pieces there, I just want to highlight that that's $8 million of just excess service costs related to both of those items.
Jon Kessler: Yes. And on your second question, I think you're kind of getting to the fun of this, which is and it does go back a little bit to the question about distribution. So one of the values in my view of having the stack card infrastructure now entirely in place is, let's say you have an MA product that you know what comes with it is a $200 of out of pocket assistance, right? Well, now we can put that alongside of if we had HOPE, we put that alongside of a HOPE account or it might be the case that $200 could be $300 if it were contributed into the HOPE account, right, because it's not just money for anything kind of a thing. So I think that there's opportunity in MA as well as in conventional Medicare for these kind of products. It's -- and we're trying to position the infrastructure to support both those opportunities.
Richard Putnam: Thanks, George.
Operator: And your next question today will come from Mark Marcon with Baird. Please go ahead.
Mark Marcon: Hi, good afternoon, everybody. Jon, we're going to absolutely miss you. Best wishes in retirement. Scott, welcome aboard. Heard great things about you from colleagues that I work with that have worked with you in the past. So looking forward to working with you. Question relates to the guidance. Specifically, Jim or Jon, could you discuss a little bit about like what your expectations are that go into the '26 guidance with regards to account growth? And are there any things that are changing? It sounds like the selling season went really well. And so I'm wondering what could potentially change that trajectory? Has there been any -- is client retention staying strong? Has there been any negative impact with regards to the fraud activity? Any color that you could provide there in terms of what drives the HSA growth for next year?
Jon Kessler: Yes. So from -- let's just start with HSA retention. We feel real good about where we are going into fiscal '26 here. There's nothing -- there's not a shoe that we're not dropping here. On the CDB side, this is sort of the flip side of incremental price increases that have now had their ability to work through the system and some of what I said earlier. There, I think -- as we go through fiscal '26, I think we could see some healthy churn. Anytime there's churn, CEOs always say it's healthy. And in this case, that's virtually true. And so, I think there's some of that but there's nothing. I don't think there's any sort of -- I think the gist of your question is there a big shoe to drop there. I don't think so. And that's why if you kind of look at it's one of the reasons that margin gets substantially healthier next year. I mean, you're looking at, as I said, in the middle of the range here, 42% EBITDA margins and then I guess to your point, we don't see much in the way of trailing costs from the incidents that we've seen nor have they really impacted our sales cycle. Although, I mean it's -- I don't have a counterfactual in front of me. So I'm sure that there has been some -- there are probably some cases where these have had an impact on either retention or sales. I know they've had an impact on our team. They've worked their butt off. But -- so I think things are looking -- I think when you see the account totals coming into '26, I think you'll -- I'm hoping, certainly our forecast is that you'll feel good about them. And -- but we will be a little bit on the lookout for some attrition in the CDB side simply because we have raised price.
Richard Putnam: Thanks, Mark.
Operator: And your next question today will come from David Roman with Goldman Sachs. Please go ahead.
David Roman: Thank you. Good afternoon, everyone. Jon, I'm sorry, I won't have an opportunity to work with you more, but appreciate all your help as we've gotten up to speed here and look forward to following the stock going forward and seeing whatever it is you do next. Maybe as I just kind of transition here, I know there's a lot of questions about the '26 guidance, excuse me. But maybe you can talk through a little bit more detail how we should think about capital allocation, both internal and external as you roll forward here. You've obviously done some acquisitions like the WageWorks one and a few others over time that have paid benefits here to the company. You've seen a big year here of increases in operating expenses across technology and development as well as sales and marketing. So how should we think about kind of your resource prioritization and how that fits into the growth rates you've laid out here for '26 and beyond?
Jon Kessler: I mean, I'll just say first and then throw to Jim that your question reminded me of something that we could have stressed, which is our fiscal '26 does not assume M&A activity because that isn't how we do it.
James Lucania: Yes.
Jon Kessler: Either large ball, small ball, whatever size ball, but that doesn't mean we won't try, so.
James Lucania: Yes, exactly. And we've talked about many times before that sales and marketing, we try to operate in an envelope and it's been operating in an envelope of 8%-ish of revenue, a little bit light of that thus far this year. Tech and dev, we've talked about 22%-ish being the high watermark. We're spending quite a bit lower than that. And last quarter, we talked about, hey, we'd actually like that to be a little bit more, but it takes time to ramp resources and some timing of project start. So you shouldn't expect anything materially different from that going forward. And then on -- so yes, sort of capital allocation sort of Jon alluded to it and I did in the remarks, right, we're obviously returning capital to shareholders currently. We've got an authorization in place. We are paying down the revolver. We've sort of talked to before like, hey, we borrowed a couple of hundred plus million dollars to fund the BenefitWallet acquisition. Let's get that paid off over time with excess cash flow and that is -- that revolver becomes a nice bucket to be able to finance the next deal of that size, should it come. And then aiming for a leverage profile. our leverage profile gets better and better each quarter as we're growing the denominator of the leverage ratio. And -- that leaves us ample capital if a larger opportunity were to come its way, right? I still fundamentally believe that some of these HSA portfolio acquisitions are some of the best ROI investments we can make, but we're continuing to fund the business within the envelope of cost in sales and marketing and tech and dev that we have and continuing to drive EBITDA margin enhancement along the way. So I think that's the sum of all of those things are very positive for the story.
Richard Putnam: Thanks, David.
Operator: Your next question today will come from David Larsen with BTIG. Please go ahead.
David Larsen: I was hoping Scott Cutler could talk a little bit about what you sort of most proud of with what you did at StockX and maybe what do you think you can bring to HealthEquity related to those accomplishments. Thanks so much.
Scott Cutler: Oh, great, a StockX question. I love that. No, I mean as I stated in my prepared remarks, I think what's excited me about my career journey has really been about leveraging technology and applying it to both different markets and different problems from financial services to consumer e-commerce. And I'll have to figure out a way to get George those sneakers. But I think what really gets me excited about the opportunity here is really just the continued use of technology and we're probably in the most exciting time to be able to leverage technologies around data and AI, particularly for the member and the client, the partner experience. And so, I, for one, am really excited about the platform, the strength of HealthEquity's market position and also equally excited about the continued use of technology to make that service more widely available and a better service. I mean that in a nutshell is kind of what I was most proud about in lots of the different chapters of my career and certainly what I hope to be able to bring here. And so I'm excited about that.
Operator: And your next question today will come from Steven Valiquette with Mizuho Securities. Please go ahead.
Steven Valiquette: Great. Thanks. Good afternoon, everyone. Jon, congrats on your retirement. And Scott, congrats on joining the company shortly here as CEO. Really, my questions here are just more on the just confirmation on the dollar amount of HSA cash custodial asset contracts you're pricing each fiscal year. Your previous slide deck, you had $3.4 billion for fiscal '26, now the 10-Q shows it went down a little bit, but then fiscal '27 went up a little bit. The yields are still about the same. But really my question is just to try to reconcile for -- so -- as of right now, the $3.2 billion that's set to reprice in fiscal '26, how much of that will happen sort of early in the year versus potentially later in the year, just to figure out how much is baked into the guidance you recognized in fiscal '26? And then the -- on a similar vein, when you talked earlier on the call about pulling forward some of these repricings, I'm assuming some of that might have been the fiscal '27 maturities, unless I'm wrong. But again, just to confirm, is any of that baked into the fiscal '26 guidance or would that be upside relative to your initial view that you gave today on FY '26?
James Lucania: Yes, thanks for that. Thanks for that question. Yes, good to clarify. So, yes, seasonally very little revenue -- very little of the HSA cash would mature in a normal year early in the year. Most of it happens later in the year. This, as you rightfully say, '26 has got some legacy WageWorks cash that was placed five years prior. So we do have a slot that matures in the middle of the year. Those are the types of things like that kind of six, nine, one year out type of maturities that we'd be looking to potentially pull forward to reprice, not two plus years -- not two plus years out. Like those kind of contracts would be a little tougher to modify with that longer runway. But yes, all of these expected actions would be priced into our current guidance, right, like there's not a…
Jon Kessler: Right. And if you kind of think about it, like if you were buying, again, these are not real hedges or you'd see it that way.
James Lucania: Yes.
Jon Kessler: But if you sort of as well, let's move this up six months. Well, okay, what's going to be the true cost of that? It's going to be the present value of that six month of what would be that six month hedge. And where we can get a deal that's much better than that, we're going to pull the trigger on it where we can't -- we're not. And so it -- we baked in some assumptions that some of these dollars would come a little earlier, but they would probably come at some percentage of that cost for lack of a better term as a discount. So I would not be looking for a ton of up or down on this topic. It's just what it really is, Steve, and you of all people know this one is our goal longer-term is to create more maturity -- I'm sorry, more stability in this line, right, because it really ultimately is a fee. So if we can do that by bringing things a little bit forward, then that's the reason we're doing it. It's not to get a few extra dollars.
Operator: Your next question - sorry, go ahead.
Richard Putnam: No go ahead.
Operator: Okay. And your next question today will come from Sean Dodge with RBC Capital Markets. Please go ahead.
Thomas Keller: Hi, good afternoon. This is Thomas Keller on for Sean. I guess first, welcome, Scott, and congratulations again on your retirement, Jon. So I'll switch gears a bit here and do a quick check in on the commuter offering. Where do we stand relative to the pre-pandemic levels there? And how should we be thinking about that business in fiscal '26 and beyond? Thanks.
Jon Kessler: Well, I'll give a quick answer to this one. It's been pretty stable at call it 60% of -- maybe 65% of its pre-pandemic revenue base. And it grows a little bit, but it's not going crazy. We'll see if some of a -- we'll be happy to see the federal employees seem to be going back to work. That would be good. But that's about it. We're not going -- and in truth, it's not terribly material, the delta one way or the other. It's a good business, but it's a good, especially, in terms of sort of service margin, it's a really good business. But that's kind of what I'd expect.
Operator: That will conclude our question-and-answer session. I would like to turn the conference back over to Jon Kessler for any closing remarks.
Jon Kessler: Okay. Well, that is a wrap for this B-plus comedian and I'm going to say I'm leaving the stage here, but I do not want to do so without everyone here understanding the team that has over-delivered again and again and again and that team is stronger and deeper than it's ever been before. And with Scott and Steve, it has leaders who are intensely committed to team success and at the same time, both of these individuals, in my observation, in one case over a long time and the other case over a medium time are genuinely personally humble about their role in that and their role being serving leadership. It's really a remarkable combination that I believe as a shareholder is going to serve this company very, very well. So to the whole team, all Team Purple, I really want to just end by saying thank you not for what you've done, but for what it is that I believe in my heart is going to be done in pursuit of our mission as well as if I can say so in pursuit of value for us, we shareholders. Is it us or we?
Richard Putnam: Us.
Jon Kessler: And with that, I'll -- I think that's the best way I could possibly end is by thanking the team. So thanks all and have fun.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.